Operator: Good morning, ladies and gentlemen and welcome to the Phreesia Fiscal First Quarter 2021 Earnings Conference Call. At this time, all participants are in a listen-only mode. Later, we will conduct a question-and-answer session and instructions will follow at that time. I would now like to introduce Balaji Gandhi, Vice President Investor Relations, for Phreesia. Mr. Gandhi, you may begin.
Balaji Gandhi: Thank you, operator. Good morning and welcome to Phreesia’s earnings conference call for the first quarter of fiscal year 2021, which ended on April 30, 2020. Participating on today’s call from Phreesia are Chief Executive Officer and Co-Founder, Chaim Indig and Chief Financial Officer, Tom Altier. Following prepared remarks from Chaim and Tom, we will conduct a Q&A session. A complete disclosure of our results can be found in our earnings press release issued yesterday evening, as well as in our related Form 8-K submission to the SEC, both of which are available on the Investor Relations section of our website at ir.phreesia.com. As a reminder, today’s call is being recorded and a replay will be available following the conclusion of the call. During today’s call, we will make forward-looking statements pursuant to the Safe Harbor provisions for forward-looking statements contained in Section 27A of the Securities Act and Section 21E of the Securities Exchange Act, including statements relating to the expected performance of our business, future financial results, our strategy, our partnerships, expected launches of products and services, long-term growth, overall future prospects, and the impact of the COVID-19 pandemic on our business. These statements are subject to known and unknown risks and uncertainties that could cause actual results to differ materially from those projected or implied during this call, in particular those described in our Risk Factors included in our Form 10-Q, which will be filed with the SEC later today. You should not rely on our forward-looking statements as predictions of future events. All forward-looking statements that we make on this call are based on assumptions and beliefs as of today, and we undertake no obligation to update them except as required by applicable law. We will also refer to certain financial measures not in accordance with Generally Accepted Accounting Principles in order to provide additional information to investors. These non-GAAP measures should be considered in addition to and not as a substitute for or in isolation from our GAAP results. A reconciliation of GAAP to non-GAAP results may be found in our earnings press release and supplemental materials, which were furnished through our Form 8-K filed after the market closed on June 8th with the SEC and may also be found on our Investor Relations website at ir.phreesia.com. I will now turn the call over to our CEO, Chaim Indig.
Chaim Indig: Thank you, Balaji. Good morning, everyone. We hope that everyone listening to today's call is safely adjusting to the challenging guidelines related to the pandemic and are engaged in the activities in your communities that are helping drive much needed social change. We are participating on the call from three different locations so we appreciate your patience with us. Let me start by acknowledging all the healthcare provider organizations and medical professionals for their continued bravery and dedication. We are pleased with our fiscal first quarter results and are proud of our entire team's ability to deliver our results in the challenging pandemic environment. I would like to specifically acknowledge our sales and client services colleagues. These teams exhibited agility and flexibility in a rapidly changing circumstances. Their ability to embrace adversity aligns with Phreesia’s mission to create a better and more engaging healthcare experience and is something I admire, particularly as we continue to operate in an uncertain environment in the summer and fall. For the fiscal first quarter, total revenue was 33.4 million, up 18% year-over-year. The average number of provider clients was 1,632, up 5% year-over-year. Average revenue per provider client was 16,735, up 7% year-over-year. Adjusted EBITDA was $1.5 million, up $1.8 million year-over-year. Healthcare providers across the country are beginning to book more appointments, access to healthcare is not optional. Patients need to be seen by providers and safety needs to be prioritized. Now I will turn the call over to Tom. 
Thomas Altier: Thank you, Chaim and good morning everyone. I'll review the income statement, balance sheet, and cash flows for the fiscal first quarter including some considerations for modeling for the rest of the fiscal year. First revenue, as Chaim mentioned total revenue was 33.4 million, up 18% year-over-year. We report our revenue in three line items; subscription and related services which were 15.6 million in the quarter, up 23%% year-over-year, payment processing fees which were 11.7 million in the quarter up 1% year-over-year, and Life Sciences, which was 6.1 million in the quarter, up 50% year-over-year.  Let's start with provider revenue, which combines revenue from subscription and related services and payment processing fees. Provider revenue was 27.3 million, up 13% year-over-year and the two drivers of the 13% provider revenue growth were average provider client growth and average revenue per provider client. Average provider clients grew 5% year-over-year and average revenue per provider client grew 7% year-over-year. Average revenue per provider client growth was directly impacted by a decline in patient visits for provider clients as the outbreak of COVID-19 resulted in various responses including government imposed quarantines.  From the middle of March through the end of April, patient visits declined approximately 50% compared to the beginning of March. The visit decline significantly impacted our payment processing revenue. Consequently, our average revenue per provider client growth was negatively impacted. We estimate that the decline in patient visits negatively impacted provider revenue growth by approximately 3 million in the quarter and year-over-year average revenue per provider client growth by approximately 13 percentage points. Patient visit trends across our provider network continued to be below pre-COVID-19 levels.  I will now cover Life Sciences revenue, which was 6.1 million, up 50% year-over-year. And our Life Science revenue is based largely on the delivery of messages at contracted price per message to targeted patients. Messaging campaigns are sold for a specified number of messages delivered to qualified patients over an expected timeframe and revenue is recognized as messages are delivered. Strong fiscal first quarter performance was driven by our team successfully selling and expanding some of our current programs. And it is also worth noting that we had an easier comparable quarter in Life Sciences, which impacts the year-over-year growth rate.  Moving on to expenses. I'll review several expense line items on an adjusted non-GAAP basis, which excludes stock based compensation expense for each line item. Please note that a full reconciliation of GAAP to non-GAAP measures, including adjusted EBITDA is included in our earnings press release and our form filed with the SEC. Cost of revenue was 4.6 million, or 13.9% of total revenue, which is down 10 basis points year-over-year. Sales and marketing expense was 8.7 million, or 26.1% of total revenue, down 60 basis points year-over-year. Research and development expense was 4.6 million, or 13.6% of total revenue down 120 basis points year-over-year.  General and administrative expenses was 7.1 million or 21.3% of total revenue, up 40 basis points year-over-year. As we have previously indicated, this figure will increase as a result of continued ramping of public company expenses. From a modeling perspective, we expect to see operating leverage in G&A during fiscal 2022. Payment processing expense was 6.8 million, which declined 1% year-over-year due to lower payment processing volume and some lower cost containment routing. It's also worth noting that payment processing revenue was up 1% year-over-year, while expenses were down 1% year-over-year which is due to a mix of transactions priced with higher per transaction revenue offset by a decrease in the volume of patient payments. Adjusted EBITDA was 1.5 million, up 1.8 million year-over-year. This increase reflects the combination of higher total revenue and delayed spending in hiring and lower payment processing expense.  Shares outstanding as of April 30th was 37.6 million. Cash on the balance sheet at April 30th was 90.3 million flat from January 31, 2020 which includes the benefit of 1.7 million in proceeds from the issuance of common stock upon the exercise of stock options. Cash flow from operations for the quarter was an inflow of 1.9 million versus an inflow of an even 2 million in the prior year quarter. Capital expenditures for the quarter were 3.1 million, up 400,000 year-over-year and the 3.1 million includes 1.2 million of capitalized software development. In summary, we're proud of our performance in the quarter in spite of the effects of the pandemic. And I think we're ready to take your questions now. Operator.
Operator: [Operator Instructions]. Your first question comes from the line of Anne Samuel with J.P. Morgan. Anne, your line is open.
Anne Samuel: Hey guys, thanks for taking the question. You spoke on the last call about virtual waiting rooms and other ways to help your patients, feel safe returning, so what kind of demand are you seeing for those products and is that still within your existing customer base, are you starting to see maybe demand from some new customers for that?
Chaim Indig: Hi Anne, thanks Anne for the question. We -- it's mostly been with our existing clients, the demand -- and its placed a ton of demands on our organization setting up those workflows. We turned on two way chat so that you could actually wait in your car for the -- while you're waiting for the doctor. That’s been wildly successful. I personally have used Phreesia’s virtual waiting room. My youngest daughter broke her leg about three weeks, like five weeks ago at this point. And I went to a Phreesia client, waited in the car, and in a two way text check in and then I -- they told me when it was time to come in, and it was an amazing experience. So we also I think there was an article that came out yesterday in The Wall Street Journal which referenced one of our clients using virtual waiting room and that is a good example of that.
Anne Samuel: That's great. I went to the doctor this week and we did an hour in the waiting room and wished that they had had the Phreesia virtual waiting room, I could have sat in my car. My next question is around the subscription base, you were still able to achieve mid-single-digit growth in provider clients. So is it fair to assume that the sales process saw a little impact or was there some maybe February outperformance that drove that?
Thomas Altier: No, I think it would be wrong to say the sales organization hasn't been impacted or implementation. But we saw a lot of the quarter was just carryover from what -- if you think that most of our clients go live within 90 days historically from when we've sold them, we really worked really hard to get as many clients live as we always do in front of the quarter. And then a lot of those clients we converted over to what we call [indiscernible] zero contact intake. And kept taking them live all throughout the quarter. So a lot of that is the effect of very strong execution from the implementation team and a strong quarter end in Q4 last year.
Anne Samuel: That's really helpful. Thanks, guys.
Operator: Your next question comes from the line of Ryan Daniels with William Blair. Ryan, your line is open.
Unidentified Analyst: Good morning. This is Barrett in for Ryan. Thanks for the questions here. I'm curious, we have heard lot about companies focusing on digital patient focused solutions, things like virtual waiting rooms and tele-health and all this sort of thing. I'm curious if you've seen any early signs of changes in terms of market dynamics through your conversations with providers specifically, if there are maybe any new players that you're starting to hear about in those conversations in this space that maybe you hadn't competed against in the past, is there any color would be great?
Chaim Indig: In the 15, 16 years that we've been doing Phreesia, we've continuously seen new entrants come into this space and try their hand at what is -- what looks like a pretty easy thing to do. What’s hard to do is patient intake at scale. And I sort of welcome the idea that there's more companies sort of making noise in the space because it's sort of rising tide lifts all boats and most organizations when they're looking for a solution, tend to look at us at the same time, right, as the market leader. But healthcare needs innovation and the more companies investing in that innovation, the better.
Unidentified Analyst: Yeah, I got it. Yeah, that's really helpful. And then maybe just a quick follow-up on the average revenue per provider client in the quarter. Obviously, there were some headwinds really COVID-19 but you still saw growth there. I'm curious if you've seen any shift to the sense there is growth driving that line. Has there been any shift in terms of the specific drivers just around whether that sort of balance between expanding and adding incremental seats with your existing base, clients adding more solutions or selling to larger clients overall?
Thomas Altier: There's been some shift. I don't think we're prepared to go into detail about that. But that's a great question.
Unidentified Analyst: Got it, fair enough. Thanks a lot. 
Chaim Indig: Thank you. Be safe.
Operator: Your next question comes from the line of Stephanie Davis Demko with SVB Leerink. Stephanie, your line is open.
Stephanie Davis Demko: Hey, guys. Thank you for taking my questions. Just following-up on the prior sales question from the Q, when you were not able to report a sale this quarter, how much of that would you attribute to a push out in demand versus the competitive take away versus maybe something else?
Chaim Indig: I don't think we've seen any change in competitive dynamics, like mostly we've seen the same thing we've always seen, which is just bandwidth and budget when we haven't won a deal. And I will tell you it’s probably shifted way more to bandwidth and budget in conversations than traditionally. But, I don't think we've seen something unnaturally happen. I think it's just harder that people don't -- it's hard to make decisions right now in healthcare and economic environment that's rapidly changing.
Stephanie Davis Demko: Yeah, it's tough to make choices in a very uncertain environment. So continuing on that drive with the uncertainty you've seen some very early utilization improvements. Looking ahead, do you expect any areas where the recovery could be a bit more elongated such as surgery centers where it should -- it would take a little more time in scheduling so we could see some plateau recovery?
Chaim Indig: So I'm sure that you guys have people with MPHs or PhDs, and MDs that can give you a better view on what's going to open when. We understand when it's happening but despite my mother's best desire, I never became a doctor. So I don't think I'm in a position to give a view on how and when pandemics will change and or when health policy will change in certain states. I know that people need to get that to care and doctors want to treat their patients. And, we know that PPE has become more widely available and best practices are starting to change rapidly. So do I think that this is a need or want, I think it's a need and I think it's going to happen as soon as government staff, healthcare professionals, and patients feel comfortable about their safety.
Stephanie Davis Demko: Maybe putting that another way, looking towards the end of the year, would it be wrong to assume a recovery back to par?
Thomas Altier: Stephanie, I don't know. I have no idea. Like, if there's a massive second wave or a third wave, I have absolutely no idea and I don't want to predict on it. That would be a disservice to all those people that have a lot more -- a lot better background in that and to our investors.
Stephanie Davis Demko: Alright, understood. Thank you guys.
Operator: The next question comes from line of Sean Wieland of Piper Sandler. Sean, your line is open.
Sean Wieland: Thank you, good morning. So the numbers were clearly better than we expected. You braced us last quarter for an air pocket and maybe we got it in the payment processing business. But, clearly it's not as bad as it could have been. So my question is, is this -- was this market related, was the market -- did the market stay stronger than you anticipated, was there elements of the model that were more resilient than you anticipated?
Chaim Indig: Sean, that's a great question. If I had to put out one thing, I'd put it on the just phenomenal execution of all parts of the Phreesia organization. We were able to come out with product at breakneck speed such as the things we do for virtual intake, the things we do for zero contact intake, and those things allowed us to just sort of be top of mind for our implementations that we were kicking off and for our customers that we were a needed solution. So and then our implementation team, just sat low, front end loaded as much as possible. And our client success team flipped over hundreds and hundreds and hundreds of practices to all different types of workflows in the middle of taking care of the kids. And we did it with like less resources than we probably would have had normally. So I would say could have gone the other way and the reason it didn't is just purely the team. Think I -- and I'm just sort of both thankful and proud of them.
Sean Wieland: Okay, so the follow-up to that is it sounds like the new client adds in the quarter were mostly signed before the pandemic hit. So what's the cadence here that we should be looking at if we saw an air pocket and a payment processing growth this quarter, is there an air pocket and new client growths to come and how should we model that in the back half of the year?
Chaim Indig: You know, I'm looking, I miss having Tom next to me at the table because he'd probably be communicating [Multiple Speakers]. There's no winking and nodding and Tom telling me what to say. It's what happens when we're all in different states right now. You know, I would say that we -- it is not the same selling environment where January we had 65 SDRs which are sales development reps. Right now I think we have 7, right. The rest have been reallocated to other parts of the organization. Although we are starting to ramp up hiring again to support our clients and our and our future prospects I would say it's not a terror offering, it's something people want. But it's -- I don't think we're going to see that same type of growth for the next couple of quarters that we thought. And it's definitely going to impact some of the subscription and frankly it's going to impact cash flow.
Sean Wieland: Okay, I'm sorry, I got to ask a follow-up to the follow-up. I didn't understand that SDRs, can you…? 
Chaim Indig: Oh, those are sales department representatives. So we -- those are the people that do most of our prospecting and qualifying in our future sales reps. So it's part of our early career program. 
Sean Wieland: Okay, [Multiple Speakers]. 
Chaim Indig: 65, now we got 7. 
Sean Wieland: Where did those extra 58 people go?
Chaim Indig: We spread them around the company and they volunteered to do any and all types of jobs, sort of make sure that we could support our clients and move over there. We're close, we basically move them to all different roles in the company, to support the organization. And it was important to us and important to them, it's been a great experience.
Sean Wieland: Alright, thanks for the info. 
Chaim Indig: Thanks.
Operator: Your next question comes from the line of Matthew Gillmor with Baird. Matthew, your line is open.
Matthew Gillmor: Hey, thanks for the question. Chaim, you mentioned cash flow and DSOs were up a little sequentially. Was that due to the deferral program that you mentioned last call and more broadly, could you just give us a sense for the financial health of the client base and are you seeing any type of uptick with bad debt?
Chaim Indig: I'll take the first part and then I'll pass it to Tom to answer some of it. You know what, look, I think healthcare organizations are hurting. One of the reasons why we wanted to aggressively publish that data up till with the Commonwealth Fund and Harvard is because we wanted to highlight the material impact ambulatory care was having by this pandemic. And you could see it in the payment volume that we make a tiny piece of what they make. So if we are down this much they are. And so I think all providers right now across the country are generally doing some type of pain. Well I will let Tom talk about the days outstanding and I'm sure that we've seen some -- I know that we've seen a fair bit of impact from that. But I think most doctors went to medical school because they wanted to take care of patients and I don't think this is to turn them from doing more of that. I think it's just cost them economic hardship, which is very sad. I hope that as a society, we could support all these healthcare organizations. Tom, you want to answer the second part? 
Thomas Altier: Yeah Matt, we are seeing some stretching out of payments was not unexpected and we did increase our allowance you'll see on the balance sheet a little bit during the period. So we are going to see a reduction in cash flow from operations in the second quarter as a result of that issue. And receivables did increase which we have noted on the balance sheet.
Matthew Gillmor: Got it, that's helpful. And then as a follow up, I was hoping you could talk a little bit more specifically on the Life Science revenue. You continue to really meaningfully outperform. I think Tom had mentioned good momentum with the sales front. I was just hoping you could kind of give us a sense for what's going on, are you delivering more messages or do you just have sort of more opportunities given that the sales are off, just trying to understand that dynamic and the sustainability?
Chaim Indig: You know, our Life Sciences organization has just done a phenomenal job of supporting their client -- all of our clients being able to explain and educate the clients on the changing dynamics. Our Life Sciences partners have been wildly supportive of the work we've been doing. Just last year Q1 was frankly lower than we had hoped. But so, I don't want to say it was an easier comp, it was a significantly lower comp. And the team just executed and made sure that we had a seamless Q1. So a lot of the programs that had to be resubmitted and redone just sort of went through as early as possible, giving us as much headroom as possible for the quarter. So just yet again, the team and I think I brought it up last quarter, they just did a really good job of just executing, focusing on our clients and making sure that we are able to deliver the most valuable messages to the right patients.
Matthew Gillmor: Alright. Thank you. 
Chaim Indig: Thank you.
Operator: Your next question comes from the line of John Ransom with Raymond James. John, your line is open.
John Ransom: Good morning, everybody. You know clearly you've got a piece of your business that's very volume centric, which is the payment side and you've got the subscription side of the business which should be less volume weighted. But if we think about the subscription business, let's just say hypothetically visits are down 25% in a given quarter, how should we think about the effect on that business from a volume standpoint?
Chaim Indig: Tom?
Thomas Altier: Chaim, do you want me to answer that one? Yeah, I'm happy to. [Multiple Speakers]. 
John Ransom: So how do we think about the sensitivity of the subscription, so revenue per -- the subscription revenue per provider how is that, if at all weighted to changes in volume?
Chaim Indig: There is some. The overwhelming majority though is not as much tied to volume. I'd say, yes. Tom, did I get that right? 
Thomas Altier: Yes, that's correct. Very few customers have revenue tied to visits. Generally, we're on a per provider per month revenue basis. 
John Ransom: And I know your providers aren't always a provider they include a large system or it could be an individual doctor practice, but just at a high level to use the baseball analogy, what inning are you in in terms of up-tiering your customers from say the base subscription rate to something closer to the full Monty in terms of all your full package of services?
Chaim Indig: Well that’s a new way to ask the questions. I don't think we will ever -- I don't think I've ever thought I'd be saying the full Monty on an earnings call. So I think the best way to think about that is, we're continuously trying to drive more of our clients to use more parts of our product. And I'd say we're in the very early parts of that for the vast majority of our clients. And frankly, we have parts of our offering that weren't around at the start of this year, such as zero contact intake and tele-health. So I think what we want to impress upon our investors is something that's been important to us for our entire existence, is that we're going to keep investing in innovation and healthcare. And so it's not just what we have today, it's what we will have. And we think that's really important for our mission, improving the healthcare experience. And I think that healthcare needs a lot of innovation, whether from us or from other stakeholders. And I think that's important.
John Ransom: And just the last follow-up, the -- we shouldn't expect when you do your third survey with the Commonwealth Fund at that time you might give the market a glimpse of what's happening intra quarter with your volume trends?
Chaim Indig: I think I am pretty sure that they're going do another -- we're going to do another release with the Commonwealth Fund. And because I think I saw internally a conversation on that and if that's the case I know Balaji will file with the team and will file an 8-K and you should be able to see some trends. And we think that's important to drive the conversation on the impact this pandemic is having on the healthcare system and patients.
John Ransom: Right, okay, thank you very much. 
Chaim Indig: Thank you.
Operator: Your next question comes from the line of Donald Hooker with KeyBanc. Donald, your line is open.
Donald Hooker: Great, good morning everyone. So just to follow-up on the earlier question on the Life Sciences revenues, I think you mentioned those, I was scribbling notes down here, but I think you mentioned that there was a nice year-over-year, easy year-over-year comp and I guess the truth is, even on a rolling fourth quarter basis, those revenues have been really strong. Is there any kind of large project, I mean, how many programs are you working on there, is there anything kind of one time, I know that you mentioned in the past there's some lumpiness there, but is there any one kind of drug or brand that's maybe driving abnormally strong demand?
Thomas Altier: It's a great question. I'm not going to provide any guidance or view on that. But it's a great question and I would ask the same kind of one and I would say that, we don't provide much visibility on the number of programs we're doing and who we are doing them for. If you're really interested just go check into a doctor's office. If that program is needed for your health, you could definitely see it.
Donald Hooker: Okay, fair enough. And then maybe just my one follow-up would be you commented and we all see the sort of the struggles of ambulatory providers in the U.S. right now. Has there been much need on your behalf to provide any sort of price concessions temporarily or I think Tom mentioned some maybe some lenient payment terms, but maybe on the revenue line, will there be any sort of concession there that we should sort of brace ourselves for in the coming months?
Chaim Indig: Alright Donald, we haven't really -- we just tried to be as flexible to our provider organizations and health system clients as possible. I think if you do the right thing and you take the high road, you usually -- it's the road that’s the road that’s less travelled and one I would prefer to be on. So we will do as much as possible to try to help our clients out whether it is with product or workflow or implementation or training or pricing and deferral. So we try as best as we can. These people are doing really, really important work treating their patients and I think that we have aligned between our Board, our employees, and most of the investors that we've talked to have been wholly supportive, but very happy that we're doing this. 
Donald Hooker: Good, thank you. 
Operator: Your next question comes from the line of Glen Santangelo with Guggenheim. Glen, your line is open. 
Glen Santangelo: Oh, yeah. Thanks for taking my questions. Hi, just I wanted to ask you quickly about the balance sheet. A few minutes ago, you talked about that the company wants to continue to invest in innovation. And I'm kind of curious if any of the dramatic changes in the market are making you rethink some of the strategic priorities or uses for the cash on your balance sheet, maybe with respect to M&A or any new strategic growth opportunities?
Chaim Indig: That's a great question. I think, my general view is the balance sheet that we have is really there to support our planned growth. We've looked at things over the years. I think our core focus has been continuously innovating and meeting the needs of our clients and investing in the people we have and will have and the clients that we will have. M&A is -- it's not something that's top of mind but it's not something that's off the table. Really, if it accelerates product development or adds the right numbers to the team, it's something we'll consider. But I feel pretty strongly in our ability to continuously innovate and invest in client growth organically. And it's just in the way we've operated for 15 to 16 years since Evan and I started the company. 
Glen Santangelo: Okay, maybe if I can ask just one quick follow-up question on the 5% client growth. It kind of sounds like asking the question a different way, it kind of sounds like that so the result this quarter was really due to strong execution from 4Q and maybe some know good implementation in terms of this quarter. But as we think about the environment having changed pretty dramatically in mid-March and you commented that it's impacting the selling process going forward, is it fair to say that we should maybe expect a little bit of an air pocket in terms client growth as we look out to fiscal 2Q, just given the environment that we find ourselves in right now? 
Chaim Indig: Our seasoned IR guy Balaji says we shouldn't make those type of forward statements. So I'm looking at him shaking his head dramatically. So I would say that, we had -- the team has worked really hard and we did have a couple of decent weeks at the start of Q1. So, it's not just the selling motion, it's your implementation organization, our customer success team, and the deployment of products that we've had. So I'm not going to comment on airpark, but I would say just flat out this is a very, very different environment than the one we were in January and February and first couple of weeks of March. 
Glen Santangelo: Okay, thanks for the comments. 
Operator: Your next question comes from the line of Jamie Stockton with Wells Fargo. Jamie, your line is open. 
Jamie Stockton: Hi, good morning. Thanks for taking my questions. I guess maybe the first one, the Commonwealth data, I think the last release that I saw on that, I think was kind of the second week of May data that was down something like 30% year-over-year or maybe versus the baseline I guess. Is there any more recent kind of view of what you guys are seeing that you could give us closer to the end of May or first week of June? 
Chaim Indig: I don't think we're prepared to give any view on volume or how it's structured and if we do, it's going to be released in conjunction with the Commonwealth Fund and Harvard. And it's really not. We're not doing this to give visibility to our investors. We're doing this to help participate in the policy debate and educate all the stakeholders in what's happening in the healthcare ecosystem, right. And you guys get benefit from it then that's good. But it's generally our view that we're going to publish this the way we have been and when we won't publish it anymore, we will publish it anyway. But I think we still have that. I think it's coming out in a couple weeks. Balaji, is that it? 
Balaji Gandhi: Yeah, that's right, at the end of June. 
Chaim Indig: I think they're targeting end of June. 
Jamie Stockton: Okay, and then maybe just a quick question on the cost front, so I don't know if Tom wants to take this or not but the second quarter should reflect kind of the full quarter of trying to make sure that you guys are doing what you can to keep costs down. I guess I would be curious, I know you don't have a ton of visibility into what the revenue is going to look like but theoretically, maybe there's a little more on the cost front from a visibility standpoint, is there anything specifically that we should be watching out for as we kind of model the second quarter from a cost standpoint? 
Thomas Altier: Jamie, I think we mentioned on the earlier call that we had frozen hiring and we're going to be looking at that again in the second quarter. I think we're going to be increasing hiring. And obviously on travel, I think we're still going to be highly restricted. So I'm not sure we're going to see much movement there. But we are going to see -- we should expect some increase in expenses and we're going to definitely see a reduction in cash flow from operations in the second quarter. 
Jamie Stockton: Okay, thank you. 
Operator: Your next question comes from the line of Sean Dodge with RBC Capital Markets. Sean, your line is open. 
Sean Dodge: Guys, good mornings, maybe -- however, I'm taking a little bit of a longer term view of Jamie's question, you mentioned restarting hiring. I guess with the volumes tracking back up again and looking like maybe on a path back to normal was this a large scale restart or how are you thinking about balancing the re-ramping of spending and investing against what could be still a somewhat depressed revenue environment for the next couple of quarters? 
Chaim Indig: You know, I think we have -- I think we've decided as an organization to start rehiring in our early career program. And we have total bunch of people starting next week in that program. We should expect larger cash flows this fiscal year versus last. I'll let Tom handle that but one of the things that we found in sort of the long term growth of Phreesia is that if we don't hire into our early career program now, it has a material long lasting effect in the years to come. Those people become our senior implementation leads in a couple of years. And some of them, like I watch them, some of you have met them, but I've watched them start their careers at Phreesia and turn into these phenomenal leaders and rock stars at our organization. And so a lot of that we're making is not just now it's on our future growth. Tom, you want to handle the cash flow issue? 
Thomas Altier: Yeah, as I mentioned Sean, we expect cash flow from operations to be negative in the quarter and also for the full year higher than last year, higher outflow than last year in terms of your modeling. 
Sean Dodge: Okay, that's helpful. Thanks. And then maybe a quick one on the tele-health offering, are there any updates you can give us on things like what proportion of your provider clients are using the solution and maybe what proportion of the payments you processed during the quarter were derived from tele-health business? 
Chaim Indig: I'm not going to give visibility on the payments. So I will say the majority of our clients or more than 50% of our clients, I believe, approximately have the tele-health offering. They've got to be more than I usually get. 
Operator: [Operator Instructions]. Your next question comes from the line of David Larsen with Verity. David, your line is open. 
David Larsen: Hey, can you talk a little bit about your relationship with RCM and they obviously recently acquired Cerner RevWorks Solution or services tied to that. Like, is there any sort of near-term in cell opportunity into Cerner’s base and how far along are you with the hospital solution in an ideal world, like when would that be up and running, thanks?
Chaim Indig: Those are some great questions. First of all I will make a comment on Joe and his team. RCM have been great partners. They have been -- they're just phenomenal operators. And I think that they're -- they have just the ability internally to be able to execute really well, and we are proud to have partnered with them till now and into the future. And we've really done a phenomenal amount of innovation with them. And I'll let them talk about the Cerner acquisition because frankly they know more about it than I ever will. And so, all I could say there is that it's a really strong partnership that's just making a material difference to patients and healthcare systems. And we're really proud of that partnership. And I think Joe and his team have done a phenomenal job and we're really proud to partner with them. And I can promise you that as we have something to say around the hospitals and the acute space, Balaji will create a slide and make us talk about it. So that's sort of our view and we're sort of stuck to it. We think hospital and acute is really hard. And, we've done a little bit memorial, which is The Wall Street Journal published an article about yesterday. Memorial is using our solution and acute, probably much sooner than we would have anticipated. So we think we have something long-term that could be of value. And when we have more visibility about it, we think it's our responsibility to educate our investors about that. And until then, we sort of punt on it. 
David Larsen: Okay, so Memorial is actually using your solution for acute care intake at their registrar sites now, it's fully functional?
Chaim Indig: That's correct. 
David Larsen: Okay, great. And then with these 58 SDRs, what's keeping them from selling right now. I imagine that you have probably at least one SDR in each state so they could probably drive to different physician offices. I mean, when will they be sort of back selling to doc offices in your mind and if you have patient volumes have pulled in maybe 20%, I mean, physician offices are still seeing 80% of their workload, there's still activity there. What's preventing them from getting on the road right now and selling, when in your mind will they all be back in their roles operating in the sales capacity?
Chaim Indig: So first off just to clarify, most of them are in the RTP, North Carolina Research Triangle area, not in the field, mostly phone based prospecting. I think we'll start slowly ramping them up over the quarter. And a lot of it has to do with a lot of practices in calling on them. We found that a lot of it just had to do with bandwidth, right. So we still have a tremendous amount of furloughed staff, right. They still -- they're getting their volumes back and just what we have to be thoughtful about is what and how were the calls placed in them, because we're playing along in here. And a lot of this has to do with reputation. And I've done that job early in my career and you want to make sure that you're not on the wrong end of too many really angry people when you're calling. So we think that that's -- it's important and we'll ramp it up slowly over the next couple months. And I know those folks are itching to get back on the phones. It is a phenomenal group of individuals. 
David Larsen: Okay, great. And then just last one, any color around bookings for the quarter or signed contracts that you can share and if not it is totally understandable. 
Chaim Indig: That is not something we have or ever will get visibility on. But it's a great question. 
David Larsen: Okay, thanks very much. 
Chaim Indig: Cheers, thank you. 
Operator: This concludes our question-and-answer session. I will now turn the call back over to Chaim Indig for closing remarks. 
Chaim Indig: Thank you, everyone and I really appreciate everyone's interest in Phreesia and your support. We hope that everyone's staying safe and is really advocating for the needed social change that our society needs. And I just want to thank all of my peers and teammates at Phreesia for their dedication and hard work. I means -- it's the most proud thing to be able to work next to them. And I miss them, seeing them in person. Cheers. 
Operator: Ladies and gentlemen, this concludes today's conference call. On behalf of Phreesia thank you for participating. You may now disconnect.